Operator: Good morning. And welcome to the Air Products and Chemicals First Quarter Earnings Release Conference Call. [Operator Instructions] Today's call is being recorded at the request of Air Products. Please note that this presentation and the comments made on behalf of Air Products are subject to copyright by Air Products and all rights are reserved. Beginning today's call is Mr. Simon Moore, Vice President of Investor Relations. Please go ahead, sir.
Simon Moore: Thank you, Dede. Good morning, everyone. Welcome to Air Products' first quarter 2016 earnings results teleconference. This is Simon Moore, Vice President of Investor Relations. I am pleased to be joined today by Seifi Ghasemi, our Chairman, President and CEO; Scott Crocco, our CFO; and our senior business leaders. After our comments, we will be pleased to take your questions. Our earnings release and the slides for this call are available on our Web site at airproducts.com. Please refer to the forward-looking statement disclosure on Page 2 of the slides and at the end of today's earnings release. Now I'm pleased to turn the call over to Seifi.
Seifi Ghasemi: Thank you, Simon, and good morning to everyone. Thank you for taking time from your busy schedule to be on our call today. We do appreciate your interest in Air Products. First, let me introduce the members of our team who are on the call today. In addition to Simon, I have Mr. Scott Crocco, our Senior Vice President and Chief Financial Officer; Mr. Corning Painter, Air Products Executive Vice President responsible for industrial gases; and Mr. Guillermo Novo, Air Products Executive Vice President in charge of our material technologies business. All of us will be participating in the call and in answering your questions. I am very pleased to report that Air Products delivered another set of excellent results this quarter. Despite significant global macro uncertainty and currency headwinds, our team stayed focused on our five-point plan and delivered earnings of $1.78 per share, which is up 15% over last year. Another quarter of outstanding performance is due to the tireless and focused efforts of Air Products' 20,000 talented, committed and motivated employees around the globe. I want to thank the people of Air Products for coming together to prove that they have the determination and the capability to deliver outstanding results and move our company forward so that we can be the best industrial gas company in the world. That is our goal. However, I am disappointed with one aspect of our performance. Please turn to slide number 3. Our safety performance this quarter was worse than previous years and, therefore, it is not acceptable. Our goal includes being the safest industrial gas company in the world. We have a responsibility to our employees and their families to ensure everyone goes home every day with no injuries or accidents. At Air Products, safety is the responsibility of every single employee and I have made it very clear to everyone that our safety performance must improve. Now please turn to slide number 4, which is the restatement of our goal. We are determined to become the safest and most profitable industrial gas company in the world, providing excellent service to our customers. We have made great progress on the profitability side and I'm confident we will refocus and improve our performance on the safety side. Now please turn to slide number 5, our overall management philosophy that we have shared with you many times before, but I would like to emphasize again. We believe strongly that cash generation is what drives long-term value. We believe that what counts in the long-term is the increase in per-share value of our stock, not the size of our company or growth rates. In addition, Air Products generates a significant amount of cash and the effective deployment of that cash is one of my most responsible -- most important responsibilities as the CEO of the company. Now please turn to slide number 6, our strategic plan as we move forward. Our strong performance this quarter is a direct result of the focus on our five-point plan that we discussed and disclosed more than a year ago. I reviewed our progress last quarter, but wanted to make a few more comments. The first point in our plan is to focus on industrial gases, our core business. In September of 2015, we announced plans to spin off our material technologies business tax free to our U.S. shareholders and set it up as a separate standalone public company called Versum Materials. We submitted our initial draft Form-10 in December to the Securities and Exchange Commission and the team is making great progress on the significant amount of work to prepare for this spin. Most importantly, Guillermo and the material technology team are delivering very strong performance. We remain confident this transaction will be complete before September of 2016. The fourth point of our plan was the responsible use of cash and controlling our cost. In this area, we have made excellent progress. We had a very robust and detailed process for reviewing every capital investment of more than $3 million at the corporate level and we have established a minimum hurdle rate of 10% internal rate of return for all new projects. We also have a strong backlog of projects that will deliver volume, revenue, and earnings growth over the next few years. In the area of cost savings, we have reduced our overhead costs by $300 million per year already and have a detailed plan to achieve an additional $300 million of operational cost savings in the next four years. Corning will share with you some examples of the great work the organization has been doing to begin to deliver on the second $300 million. Improving productivity and efficiency is a necessary and never-ending process that we are all committed to as we move forward so then we can stay at the leading edge of our industry. Now please turn to slide number 7 for a summary of our results for the quarter. Scott will take you through the details later, but I want to emphasize that the improved EBITDA margin by 500 basis points increased free cash by $200 million, increased our earnings per share by 15% and return on capital employed is up 160 basis points to 11.7%. This is despite a weak worldwide economy, lower sales and a $0.08 negative impact from currency exchange translation. And now if you please turn to slide number 8, which by the way is my favorite slide. You will see our progress over the last two years where we have improved our margins by more than 800 basis points. We are determined to continue to improve our margins. Now I would like to turn the call over to Mr. Scott Crocco, our Senior Vice President and Chief Financial Officer to discuss our quarterly results. Then I will come back after comments from Corning, Guillermo and Simon to make some closing remarks and then we will be pleased to answer your questions. Scott?
Scott Crocco: Thank you very much, Seifi. Please turn to slide 9 for a review of our Q1 results. Sales of $2.4 billion decreased 8% versus last year on unfavorable currency and lower energy pass-through impacts of 5% each. Volumes increased 1% as Gases Asia growth continued, while Material Technologies and Gases Americas and Gases Europe volumes were lower. Corning and Guillermo will discuss more on that later. Pricing was 1% higher for the fifth consecutive quarter, again driven by price increases in Gases Americas and Gases Europe and both price increases and mix in Material Technologies. We delivered significant operating leverage again this quarter as EBITDA of $786 million improved by 9% and operating income improved by 17% despite the lower sales. EBITDA margin improved 520 basis points to 33.4%, while operating margin improved 460 basis points to 22%. We saw margin improvements across all segments. Lower energy pass-through only contributed about 60 basis points to the operating margin improvement. The rest of the operating margin improvement of about 400 basis points resulted primarily from lower costs and higher prices. Our actions continued to show results and this quarter is another new record for the highest quarterly operating margin in over 25 years versus prior year net income and earnings per share grew 15%. And we continued to improve our return on capital employed, which increased 160 basis points to 11.7%. Now please turn to slide 10. You have heard Seifi and I talk about our focus on cash flow and that we do not want to borrow money to pay dividends. As you can see, distributable cash flow increased by $88 million this quarter due to higher EBITDA and slightly lower maintenance capital. We remain focused on spending the right amount of maintenance capital at the right time and properly supporting the base business to ensure long-term success. As a result of lower growth capital spending, free cash flow was $165 million this quarter, or $199 million higher than prior year. That's a great start to fiscal 2016. We expect growth CapEx for FY16 to be lower than our initial guidance, primarily due to the decision last quarter to suspend construction on the Tees Valley II projects. Please remember that, from a timing perspective, it's not unusual for items to move around quarter-to-quarter, particularly maintenance capital and cash taxes. Turning to slide number 11, you can see an overview of this quarter's performance in terms of earnings per share. Before I comment on our Q1 operating performance, I would like to spend a moment on the non-GAAP items that totaled $0.11 per share or $26 million pretax. Back in November, we announced that we were suspending construction of Tees Valley II until certain design issues of Tees Valley I are better understood and can be integrated into the design of Tees Valley II. In fiscal Q1, we incurred incremental costs of $14 million, or $0.05 per share, to suspend construction activities of the second project. We expect about another $0.02 of additional costs to be incurred in the second quarter. We also saw Materials Technology separation costs of $12 million, or $0.06 per share, for legal and advisory fees. And as I mentioned last quarter, we have essentially completed the actions associated with our first $300 million of overhead reductions. Further actions will be part of the second $300 million of operational improvements. With the completion of our first phase, restructuring costs were modest this quarter and are included in our underlying results. Further details on all non-GAAP items can be found in the appendix slide and the footnotes to our earnings release. Excluding these items, our Q1 continuing operations EPS of $1.78 increased $0.23 per share, or 15%, versus last year despite the currency headwinds. Volumes increased EPS by $0.02 per share. Pricing, energy and raw materials taken together contributed $0.14. Net cost performance was $0.18 favorable, primarily due to the benefit from our actions taken last year to enable a new, more disciplined organization. Cost performance also included about a $0.03 benefit from lower pension costs. Unfavorable currency was $0.08 per share as almost all currencies weakened against the dollar. As a reminder, for Gases our currency exposure is primarily translation as the vast majority of our products are made and sold in the same currency. Equity affiliate income was $0.03 unfavorable. Interest expense was $0.02 lower due to higher capitalized interest and the retirement of higher-cost Indura debt last quarter. Taxes were $0.03 unfavorable due to higher earnings and timing of a few items. For the year, we still expect our effective tax rate to be in the 24% to 25% range, likely closer to 25%. Non-controlling interest was $0.02 favorable, due to our buy up of the remaining shares of the Indura business last quarter. And higher shares outstanding reduced EPS by $0.01. Now to begin the review of our business segment results, I will turn the call over to Corning.
Corning Painter: Thanks, Scott. First, I would like to thank the entire Industrial Gases team for another very strong quarter and step up in our margins. Despite currency headwinds and challenging economic conditions just about everywhere, we improved overall EBITDA margin by 450 basis points year-on-year. Going forward, we're going to drive operational productivity to new heights at Air Products and we are going to work tirelessly to improve safety. In our highly-distributed business, we often describe operational productivity as 10,000 little things. That means we have many opportunities to act and our new, simpler organization is helping us to act with speed. For example, we used to have a bias to purchase on corporate global, sole-source agreements. And that's a good strategy for some things, but not everything. In our new organization an empowered regional team broke this paradigm. They decided to multi-source. That meant we could introduce low-cost local suppliers and we could select the best supplier for each location. Our other regions are replicating this and we would expect savings in the 40% range. We are also improving distribution routing and fleet efficiency by working with third parties that bring new ideas. We are improving operating and maintenance efficiency by using our data to adjust maintenance intervals and improving network efficiency by consolidating facilities. These are some of the 10,000 things. With that, please turn to slide 12 for a review of our Gases Americas first quarter results. Despite currency headwinds and weaker volumes, our continued focus on cost drove the margin expansion. Sales of $836 million were down 17% versus last year as the pass-through of lower energy prices reduced sales by 12% and currency reduced sales by 4%. Volumes were down 3% on weakness in Latin America and in the North America steel and oilfield services markets. Some steel customers idled capacity in December, which will have some impact on argon and oxygen volumes going forward. HyCO volumes and refinery operating rates remained strong. Pricing was up 2%, the fifth consecutive quarter of positive pricing in the Americas. We had particular success in South America in several specific products. Helium has been a strength for us, but oversupply in helium will likely begin to weaken pricing later this year. We expect the helium market to tighten again in a few years. Operating income of $212 million was flat to last year and EBITDA of $335 million was up 1% as we overcame the headwinds from currency, lower energy pass through and lower volumes through pricing, the benefits of our restructuring actions and lower maintenance costs. Record operating margins of 25.3% was up 420 basis points and record EBITDA margin of 40.1% was up 700 basis points. The impact from lower energy pass-through was about half of the margin improvement. Lower costs drove our sequential profit and margin improvement. We expect volume weakness to continue in Q2, particularly for steel in Latin America, but expect our cost focus will overcome higher major maintenance costs and drive improved profitability versus last year. Now please turn to slide 13. For Europe, Middle East and Africa businesses we saw the benefit of our cost restructuring actions as EBITDA and operating margins set new records, both up almost 500 basis points versus last year, sales of $438 million were down 12% due to a negative currency impact of 10% primarily due to the euro, pound and Polish zloty and a negative 2% impact on lower energy pass-through. Underlying sales were flat with 1% lower volumes and 1% higher prices. Positive liquid bulk volumes were more than offset by lower package gases volumes, in part due to weak offshore demand and by lower refinery hydrogen demand. Price was positive across all sub-regions. Operating income of $92 million was up 13% and operating margin of 20.9% was up 470 basis points. Operating income would have been up 22% on a constant currency basis. EBITDA of $146 million was up 2% and EBITDA margin of 33.3% was up 480 basis points. The primary driver of improved profitability was our continued focus on costs and the positive contribution from our pricing actions. Please turn to slide 14, Gases Asia. As you can see from our results, our business performance was very strong again this quarter with record operating and EBITDA margins. Despite all the talk about China, we did well in China. Of course, we expect our China tonnage volumes to be up with the new plants on stream, but merchant volumes were up also again. We remain cautious about the economic outlook in Asia but are pleased with the resilience our business has demonstrated. Sales of $413 million was up 4%, primarily driven by volumes up 11%, partially offset by a negative 6% impact from currency, primarily from Korea, Taiwan and China. Overall, merchant volumes were up low double digits again across Asia, with China LOX/LIN volumes also up low double digits. We were pleased to fully bring on-stream the largest ASU project that Air Products has ever built, providing oxygen to Yankuang in Yulin, China. We now have six large oxygen for coal gasification projects on stream in China including over 20,000 tons a day of oxygen added this last year. Our customers are operating their facilities, our plants are running well, and we are getting paid. As I have mentioned in the past, we do occasionally see swings in the energy pass-through around customer startups. This has no impact on profit, but can impact sales and margins. Sequentially, volumes were down 3%, in part due to a positive catch-up payment in Q4 that I mentioned last quarter. Pricing was down 2% on the continued overcapacity in the China liquid market. Operating income of $117 million was up 29% and operating margin of 28.2% was up 550 basis points. EBITDA of $180 million was up 16% and EBITDA margin of 43.6% was up 480 basis points. Profit improvement was driven by the base business volume growth, new projects successfully coming on-stream and the benefit of our cost reduction programs and about $5 million of non-recurring items. The team is very focused on continuing to drive improvement, but we would expect some volume weakness from the Lunar New Year next quarter. I will close with a comment on Global Gases segment. You will recall that this is the segment that includes most of our air separation unit sales equipment business as well as costs associated with the industrial gas business which are not region specific. Sales were up as we began to recognize revenue from the Jazan ASU sale of equipment that more than offset weakness in small equipment and other ASU sales. Now, I will turn the call over to Guillermo for a review of our Materials Technologies segment results.
Guillermo Novo: Thank you, Corning. Please turn to slide 15. Let me start with a few general comments before I go into the numbers. In September of last year, Air Products announced its intention to separate Materials Technologies business through a spin-off to our shareholders. This strategic decision will allow Materials Technologies and Air Products Industrial Gases to leverage our respective strengths and will enable better business performance for both companies over the long-term. The new company will be called Versum Materials and will be highly profitable with strong cash flow generation and solid growth prospects. Our team is very excited about this tremendous opportunity and as you can see from our strong results, we remain focused on executing our strategy while driving safety, business improvement and taking care of our customers. We are also making good progress on key steps required to enable the spin-off, which we expect to be completed before September of 2016. For example, in December we submitted the initial draft of our Form-10. On February 24, George Bitto, Versum's future CFO, Simon, and I plan to host a conference call to help you understand our business including our key markets, products, as well as our plans for future success. Given the progress we have made in the spin-off process and the level of financial information we have provided, you will see we are sharing more details about our business. I will first make a few comments on our overall Materials Technologies segment and then make more specific comments on Electronic Materials and Performance Materials results for the quarter. Segment sales of $490 million were down 6% versus last year, including a negative 2% currency impact. As a reminder, for Materials Technologies, currency volatility has a greater impact on our business than on the industrial gas business of Air Products. Given the global nature of our supply network, we have both translational and transactional impact from currency. More so for Performance Materials, where North America supplies a significant portion of our demand in Europe and Latin America. Volumes were down 6% on lower delivery systems in Electronics and lower demand in Performance Materials. Pricing was up 2%. EBITDA of $147 million was up 14% and EBITDA margins were up 530 basis points. Operating income of $127 million was up 22% and operating margins of 26% was up 600 basis points another record margin quarter driven by cost-reduction actions and the management of price versus raw materials. Most importantly, we bounced back very well from a softer fourth quarter. As I told you last quarter, we expect to improve our profitability and deliver higher profits in 2016 than we did in 2015 and we're still committed to this. We are off to a great start in the first quarter, but are somewhat cautious of the second quarter given the decline in the delivery systems activity that I mentioned before. And the weak macroeconomic environment impacting demand, continued currency headwinds and the impact of lower material costs on our inventories. But as you know, the second half of the year is typically the stronger part of the year for our business. On slide 16, you can see the results of Electronic Materials. Sales of $245 million were down 4% on lower volumes, improved pricing and mix and negative currency effect. As expected, delivery system activity was down significantly. Despite key products in our PM portfolio being capacity constrained, our overall Materials volumes were flat as we continue to see strong demand in advanced materials business. That is a great example of innovation that continues to be at the core of our organic growth and of the future products and solutions for our customers. For Electronic Materials, EBITDA of $96 million was up 27% and EBITDA margins of 39.2% was up almost 1,000 basis points. Operating income of $83 million was up 43% and margins of $33.9 million was up over 1,000 basis points. Pricing and mix and the benefit of our cost-reduction actions were the key drivers. The quarter also benefited from the timing impact of portfolio actions we have taken. These are worth about 200 basis points. The rest of the 800 basis point improvement is from underlying business performance. On slide 17 you can see the results of Performance Materials. Sales of $245 million were down 9% on lower volumes, lower prices and negative currency effect. Volumes were down in epoxy and additives business, driven by weak global demand in general and in particular, weakness in oil and gas and mining markets. This includes a specific customer shutdown in Brazil. Prices were down, but were more than offset by lower material costs. Performance Materials EBITDA of $51 million was down 7%, but margins of 20.9% was up 50 basis points. Operating income of $44 million was down 7%, but margins of 18% was up 30 basis points. The lower volumes and the negative impact of currency more than offset the benefits of pricing relative to raw materials and the cost-reduction actions. On slide 18, you can see the trailing 12-month results for Materials Technologies segment. Sales of just over $2 billion, EBITDA of $590 million with margins of 28.7% and operating income of almost $500 million with margins of 24.3%. This is as reported within Air Products and does not include any allocated corporate costs. As you can see, Versum Materials will be a very high-quality company with very attractive margins. Slide 19 shows the operating margin improvement in Materials Technologies over the last three years. Although recent market dynamics have been favorable for a few products, the overall performance was not driven by a cyclical peak as the business environment varied significantly over this period of time. This improvement was driven by continuous actions on multiple fronts over the last three years: innovation focusing on our key product and markets, leveraging pricing opportunities, productivity, improving our cost structure and taking needed portfolio actions. While there will be normal fluctuations in quarterly results driven in part by macroeconomic drivers, we do not see this as a cyclical business. The semiconductor industry has changed and the underlying improvements we have made in process materials is sustainable. As I indicated in the past, we are capacity constrained in several product lines and we are launching several new products in advanced materials, all of which require us to expand capacity. We continued to make good progress on the capital projects I talked about in our last two earnings calls. As you saw from the initial draft Form-10, the spending on these expansion projects increased total CapEx to about $100 million in fiscal year 2015. We expect fiscal year 2016 CapEx to be about $200 million before it drops back down to more typical levels of below $100 million for fiscal year 2017. Keep in mind that we only make these types of large capital investments every few years. In fact, the last one was eight years ago. As I said, Versum will generate very strong cash flows. We are executing and remain focused on our key priorities, safety, top-line growth, and margin enhancement and equally important, we are committed to meeting or exceeding our timeline for the spin-off of Materials Technologies business as a standalone company. I know that I can speak for the entire team that we are committing to adding value to our customers, to the success of the business and to creating an exciting and profitable future for our shareholders and the rest of our stakeholders. Again, I look forward to sharing more information with you on our call on February 24. Now, I will turn the call back over to Simon for quick comments on the corporate segment.
Simon Moore: Thanks, Guillermo. Our corporate segment consists of our LNG and helium container business, as well as corporate costs which are not business specific. Sales were flat versus last year as higher LNG sales were offset by lower helium container sales. The LNG projects in our backlog continue with no delays or cancellations this quarter. However, we have seen a slowdown in customer decision-making on new projects that will likely impact our FY'16 results. The improved profitability this quarter was primarily driven by the higher LNG activity and the benefit of reduced corporate costs. Now I will turn the call back over to Seifi.
Seifi Ghasemi: Thank you again, Simon. Now please turn to slide number 20 for a discussion of our outlook. The Air Products team is focused on the things we can control toward our goal of becoming the safest and most profitable industrial gas company in the world. Our guidance for the second quarter of fiscal year 2016 is for earnings per share of $1.78 to $1.83. At midpoint this will be an increase of $0.26, or 16%, over the second quarter of last year and will represent our seventh consecutive quarter of double-digit earnings growth. Despite an increasingly uncertain economic background and increased currency headwinds, we are confident in delivering on and are maintaining our full-year fiscal year 2016 guidance of $7.25 to $7.50 per share. At midpoint this will be a 12% increase over our very strong fiscal year 2015 performance. The full-year and quarterly guidance includes the Materials Technologies business as part of Air Products for the full 2016. Primarily as a result of our decision to suspend construction of Tees Valley II project, we now expect our CapEx to be about $1.3 billion for the year, down about 25% from fiscal year 2015. As you can see from our results, we improved free cash flow by $200 million this quarter. You have heard me talk about priorities for the use of cash we generate and I would like to reiterate them in the order of priority. Our number one priority is to maintain an A credit rating. Number two, we will use our cash to invest in good projects and good and accretive acquisitions. Number three, we will continue to increase our dividends. And number four, finally, if and only if, there is excess cash available, we are very comfortable returning money to our shareholders in the form of share buyback. The cash we generate belongs to the shareholders and we only spend our cash if we have enough high-return projects and acquisitions. Otherwise, as I have said, we would return it to our shareholders. Air Products growth into the future will not be driven by any single large event. I am confident we will deliver on our commitment to spin Material Technologies and we will resolve our Energy from Waste business in Northern England. Our future growth and profit growth will be driven by executing on the basics of our industrial gas business that is we will focus on all aspects of growth in our industrial gases. We will deliver the second $300 million of cost savings over the next few years, enabled by the more focused and accountable organization we already have in place. We will deliver on projects in our backlog and we will compete for and win new projects at high return. We certainly understand there is significant uncertainty in the world today, but we are focused on the things we control to drive improvement. We believe in self-help regardless of the external environment. The future is very bright for Industrial Gases business in general and most importantly, for Air Products. We do have an outstanding team of talented, dedicated and motivated people who are driving change and we are blessed with having a great portfolio of businesses around the world with more than 170,000 outstanding customers to serve. I'm very proud of our people, incredibly optimistic about the future of Air Products and consider it an honor and a privilege to be part of this winning team. We are now delighted to answer your questions.
Operator: [Operator Instructions] We will take our first question from Mr. Bob Koort with Goldman Sachs.
Chris Evans: Good morning, everybody. This is Chris Evans on for Bob. I was wondering if your increasing free cash flow position changes your appetite for share repurchases going forward?
Seifi Ghasemi: Well, I've just been through our priorities in terms of what we will do with the free cash. As I said, we are going to maintain our A rating. We are already there. So we don't need to spend more cash to do that. And then I said that we are going to invest in new projects. We of a lot of new projects in place and a lot of future ones that will require cash. We are focused on making good acquisitions and there are plenty of opportunities to take a look at that, but -- and we want to increase our dividend. Now after that, if we still have cash left, yes, we will buy shares, but as I said, please just take a look at our order of priorities.
Chris Evans: I would ask you then if the credit market environment, if that changes any of your thoughts about the MT spin or your expectations for what your interest expense is going to be there.
Seifi Ghasemi: Well, we have said that we are going to spin Material Technologies by September of 2016. So I understand that there are difficulties right now with the credit markets and the stock market in general, but we are not about to spin Material Technologies next week or next month. So we are obviously going to monitor what is going on in the world and when the time comes, we will take everything into consideration about what we want to do.
Chris Evans: Thank you.
Seifi Ghasemi: Thank you.
Operator: The next question comes from David Begleiter with Deutsche Bank.
David Begleiter: Thank you. Good morning, Seifi.
Seifi Ghasemi: Good morning, David. How are you?
David Begleiter: Very good. Thank you. Seifi, on pricing, trends remain positive. What's your view on potentially -- should they remain positive for the full year? And what's the potential for these trends to actually increase or accelerate going forward?
Seifi Ghasemi: As I said, we are optimistic about our future. We have given you a forecast for the year, which is -- has a wide range on it, $7.25 to $7.50. So we obviously -- our goal is to make the $7.50 not the $7.25. And our self-help projects are actually delivering results. That's why we were able to beat the guidance for the first quarter, because our cost savings delivered more than what we expected. So we do remain positive.
David Begleiter: Just one more thing, Seifi. Given the combination of Air Liquide and Air Gas, can you discuss any threats or opportunities that combination might present to you in the short term or longer term?
Seifi Ghasemi: Well, David, that's an interesting question and I'm at a loss about how to respond to that without hurting anybody's feelings on either side. But fundamentally, as we had always said, Airgas was not a strategic acquisition for us. We never thought it was. At the end of the day, if you take our industrial gas sales of about $8 billion, the overlap with Airgas is only about $1.5 billion, if you exclude our HyCO business and our business in Europe and Asia. So it was never a strategic thing. We don't feel that we have lost anything, but by -- there are other people going and paying an arm and a leg to buy the business. So we have to wait and see how it develops, but we certainly are focused on taking advantage of any opportunity that may arise.
David Begleiter: Thank you very much.
Seifi Ghasemi: Thank you, David.
Scott Crocco: Thanks David.
Operator: Next, we will go to Steve Byrne with Bank of America.
Steve Byrne: Hi. I was just wondering, out of your plants in China that are in coal gasification operations, what end-markets are you most levered to? Is it polyethylene, ammonia, methanol? Some of those are not doing very well. And is the profitability of your take-or-pay contracts -- is affected by operating rates?
Seifi Ghasemi: First of all, as you know the nature of our business, our supply contracts have a fixed monthly charge. It is not dependent on the profitability of the customer. So whether those markets are up or down doesn't really affect our monthly fee that we get. The second thing is that most of our exposure is to coal to liquids and we don't have a lot of exposure to methanol and all of that. But I would like Corning to expand on this.
Corning Painter: I think the key thing here is they are all operating. These are plants with high fixed costs, low operating costs. We have a mix of end-markets that it goes into. We've got strong contract coverage and you can see the impact in our results. It's quite a positive for us.
Steve Byrne: But you do have an effect on operating rate? It does -- beyond the monthly fee?
Seifi Ghasemi: No, it doesn't.
Corning Painter: No, no.
Seifi Ghasemi: It doesn't. It's a fixed price. Whether a customer operates at 70%, 50%, or 90%, we get the same fee.
Steve Byrne: Okay, thank you.
Seifi Ghasemi: Thank you.
Operator: And our next question comes from P.J. Juvekar with Citi.
P.J. Juvekar: Yes. Hi. Good morning.
Seifi Ghasemi: Good morning P.J. How are you doing this morning?
P.J. Juvekar: I'm doing well. In Asia your volumes are up nicely, 11%. How much of that was base business and how much of that was any new plant start-ups that you had?
Seifi Ghasemi: Well, I'd like to have Corning answer that.
Corning Painter: Right. So thank you for the question. A little more than half of that is the new plant startups, and we all expect that and so forth. But nearly half of that step up is the base business, including in China, so I really think that's tremendous and speaks a lot about the resilience of the business we have there.
P.J. Juvekar: With oil prices near $30 are you seeing any project delays or cancellations in energy end-markets? I noticed that you dropped your CapEx guidance. Is that because you're going after high-return projects or is that because there is not a growth -- lack of growth opportunities or sort of combination of both?
Seifi Ghasemi: P.J., we have not seen any cancellations of the projects that we are working on. We have dropped CapEx because -- primarily because we have stopped spending money on Tees Valley II. That expenditure, P.J., was at the rate of more than $20 million a month. So that is where the saving is coming from.
P.J. Juvekar: Thank you.
Seifi Ghasemi: Thank you, sir.
Corning Painter: Thanks P.J.
Operator: Our next question comes from Jeff Zekauskas with JPMorgan.
Jeff Zekauskas: Hi. Good morning.
Seifi Ghasemi: Good morning.
Jeff Zekauskas: Can you talk about your backlog in LNG and how much risk you think is in the business this year if you think there is risk in it?
Seifi Ghasemi: There is no risk on the business this year. The projects that we are working on are -- have not been canceled, Jeff. I think we said that at the -- Simon said that in his comments.
Jeff Zekauskas: Sure.
Seifi Ghasemi: We haven't seen any cancellation. The issue that we have is for the future projects that we were counting on, on the years to come. Those projects have been put on hold. None of them have been canceled, but they have been put on hold. So that's the part that we have to see but this year we are not at risk at all.
Jeff Zekauskas: Okay. Thank you for that. And then, for my follow-up, if you look at your industrial gas demand in Europe and in the United States, it seems to be somewhat below GDP growth. And there are all kinds of reasons why there are pressures on the industrial gas business. Has the sort of the makeup of your customer base changed so much that it's difficult for industrial gas to grow at a GDP rate now or do you see this as merely cyclical?
Seifi Ghasemi: Look, Jeff, on that one I will you an answer and then I will allow Corning to expand on that.
Jeff Zekauskas: Sure.
Seifi Ghasemi: I mean, you know, very well that the GDP in the United States, 70% of that GDP is discretionary consumer spendings. The industrial production, which our sales are related to, that one is not growing as much. So our correlation of our sales has always been with industrial production. So as a result of that, we don't see any change in our customer mix to make us believe that we will have lower growth rates as compared to the past. But, Corning, you want to make any comment?
Corning Painter: Maybe just one other insight I can add to that. I think we're in a market situation where it's maybe a little less likely to make -- useful to look at a broad, sweeping statement about a market -- Europe, North America, China in that different segments within each industrial economy are doing better and worse and have very different approaches. Even in steel you could say, well, there's overcapacity. It is impacted by lower oil, but automotive demand is quite strong. So I think we are sort of in a spiky market where some specific end-markets do better and worse than others.
Jeff Zekauskas: Okay, great. Thank you so much.
Seifi Ghasemi: Thank you very much.
Operator: The next question will come from Vincent Andrews with Morgan Stanley.
Vincent Andrews: Thank you and good morning, everyone.
Seifi Ghasemi: Good morning.
Vincent Andrews: The comments you made on the Americas pricing, it sounded like you saw solid pricing in South America. I'm just wondering how much of that was sort of trying to recover currency and was that ultimately offsetting negative pricing in the United States or what's the trend as you move across the different sub geographies of the Americas?
Seifi Ghasemi: Sure, Corning?
Corning Painter: Maybe the best way to get to this question of underlying cost versus pricing is we had margin expansion, let's say from the mix of that, in both regions. Does that answer your question?
Vincent Andrews: Yes. That answers my question. Then just as a follow-up. Do you have an update on Tees Valley I to share with us?
Seifi Ghasemi: Not really, Vincent. What we have been doing with Tees Valley I is for the past year we start the plant up, learn something; the plant goes down because something goes wrong. So we're in an iterative process of trying to learn how the gasifier behaves and if we can make it work on a sustainable basis. There is a still significant outstanding question about if we will ever be able to get it to work on a sustainable basis. And as I said, we have given ourselves a few months to keep trying it, but there will come a time that we might stop trying. The technology is proving to be a lot more difficult than people thought at the beginning and I have to say we haven't made a lot of significant progress since we talked to you last time.
Vincent Andrews: Okay. Thank very much.
Seifi Ghasemi: Thank you.
Operator: And next we have John Roberts with UBS.
John Roberts: Good morning, nice quarter.
Seifi Ghasemi: Thanks John.
John Roberts: Corning, was most of the 2% price increase in the Americas in South America? It sounded like you made a comment like that. And so we should think about that as recovering currency?
Corning Painter: We had pricing success in both North and South America. If I were going to lay this all back to underlying what's behind it, I would say, as much as anything, it is good service, which gets you the right to raise their price, combined with good discipline. Obviously, power rates and other inputs are a factor to it, but particularly to the comments I made before about margin, I think it comes down to discipline and service.
John Roberts: And then, secondly, do you still expect Versum to be as leveraged as you originally thought? Rates for higher debt companies have gone up, so I was wondering whether you are rethinking that.
Seifi Ghasemi: We will decide that finally about, quite honestly, two weeks before we actually go public and raise the debt. The markets, as you know better than I do, change just about almost on a weekly basis. So right now we have no reason to believe that we shouldn't be able to do what we have suggested before. But obviously in a few months, when we are actually going to do that, we will consult with our advisors who are already working on it and decide what is the appropriate number to put in there. We certainly, as we've always said, we are determined to set up Versum for success and we will not load it up with leverage that is inappropriate or load them up with significant interest charges that they cannot afford. But the company, as Guillermo has been explaining to you, they are doing very well and their capacity for debt is significantly even more than what we have suggested no matter what the markets. But we will make that decision right before we actually do it.
John Roberts: Thank you.
Seifi Ghasemi: Thank you.
Operator: And next we have Mike Harrison with Seaport Global Securities.
Mike Harrison: Hi. Good morning.
Seifi Ghasemi: Good morning, Mike.
Mike Harrison: Guillermo, I was wondering if you could talk about the big decline in delivery systems within Electronic Materials. Should we view that as a negative leading indicator, or can you maybe give us some color on what that suggests about the overall health of the electronics market? And also maybe comment, was there any tailwind from inventory revaluation in the quarter?
Guillermo Novo: First, let me talk on the delivery systems. Actually nothing we've said is new. I think in the last two calls we already predicted that this -- the delivery systems, the equipment business was going to be slowing down versus prior year, a lot of it was because of some projects that we did last year. So our delta was probably more driven from that project differential. Now if you look at a lot of the projections and this has been how the actual demand has been tracking from a lot of the third party industry -- the projection was for a softening in CapEx that would start to pick up in the back end of 2016. And we are still tracking that. So it hasn't been a big surprise for us. Regarding the inventory reval, this is why I'm a little bit more cautious for the second quarter. Not that we are seeing a big change in dynamics versus what we've projected in the past, but in the near-term the headwinds of currency, oil price deflation and the impact it's having on our price so we should have some inventory reval. But also on the demand side, a lot of our customers -- unlike gases, we have inventory; our customers have inventory. And some of the demand softness that we are seeing is just people taking actions on their inventory levels.
Mike Harrison: All right. And then, you guys commented that refinery hydrogen volumes in EMEA were lower. Can you give some additional details on that? Were there some shutdowns or what's going on?
Guillermo Novo: Well, we did have a steam methane reformer that we shut down last year, but if I were going to say sequentially I think it's just a shift to slightly sweeter feedstock taking place there right now.
Mike Harrison: All right, thank you very much.
Guillermo Novo: Thanks Mike.
Seifi Ghasemi: Thank you.
Operator: Our next question comes from Nils Wallin with CLSA.
Nils Wallin: Yes. Good morning and thanks for taking my question. First off on Jazan, it looks the timing might have been pushed out a little bit, yet you are booking revenues now. So is there anything that is new or that you can update us on, on that project?
Seifi Ghasemi: First of all, we are not aware of anything being pushed out. The project is on schedule and Saudi Aramco is actually pushing us to complete the project on time. So we haven't had any delays on that. No, we are executing with great speed on that.
Nils Wallin: Understood. And just with respect to the LOX/LIN market in China, certainly there's been some talk about steel closures in some of the Chinese producers. Do you think that will affect overall LOX/LIN volumes or there will be no change there?
Seifi Ghasemi: I'll have Corning to comment on that.
Corning Painter: First of all, the results that we reported today reflect everything that has happened to-date. I think the question of what's going to happen in steel is interesting. Many of those steel mills have their own captive air separation plant. Many of them sell that onto the market and if those were to close, that would be an interesting impact and might take some capacity out.
Nils Wallin: Got it. Thanks very much.
Seifi Ghasemi: Thank you.
Operator: Next we have Duffy Fisher with Barclays.
Duffy Fischer: Hey, good morning, fellows.
Seifi Ghasemi: Hi. Good morning, Duffy. How are you?
Duffy Fischer: Good. Thanks. Maybe first one for Scott, on the cost programs, which have been very successful so far, the first $300 million is kind of $75 million run rate per quarter. Did we see all of that impacting the first quarter? And then, when this year will we anniversary or when do you think we will anniversary that first $300 million? And then, on the second $300 million over four years, you would think about that as being $75 million per year. Is it back-end loaded, front-end loaded? How should we think about that rolling through?
Seifi Ghasemi: Well, first of all, on the $300 million, we did see the $75 million savings in the first quarter. And on the second thing, we have said $75 million a year, but we are beginning -- starting that beginning of 2016, so we expect to deliver about half of that in 2016. So in our forecast, we have about $35 million, $36 million of additional savings in 2016, but then in 2017 we should have the whole $75 million.
Duffy Fischer: Okay, understood. Great. Then just a follow-up on the China situation. You guys were reporting good volumes there or improving volumes. How long do you think that needs to continue before that market starts to get healthy? I know, Seifi, you've talked about it being massively oversupplied. I mean, is it a six-quarter issue? Is it a 12-quarter issue? How long before that market can start to get healthy?
Seifi Ghasemi: Well, it's obviously going to take a while because, as you know, the overcapacity, the installed capacity is about 55,000 and the demand is about 27,000 tons a day. But the shutdown of some of these older steel plants will help. Obviously, China is growing, so whether it will take another three years, another four years, or another five years is debatable. Anyway, that's my view. I'll have Corning to kind of comment on that too.
Corning Painter: I think we talk a lot focusing on what we control and we don't really fully control that marketplace and I really hesitate to guess how that's all going to be. But I think what matters for us is continuing to drive our retail sales, which sequentially are up again for us, working with end-use customers, continuing to load the capacity that we have in the ground and we are highly focused on that.
Duffy Fischer: Terrific. Thank you, guys.
Seifi Ghasemi: Thank you.
Operator: And our next question will come from Jim Sheehan with SunTrust.
Jim Sheehan: Good morning, Seifi.
Seifi Ghasemi: Good morning.
Jim Sheehan: You guys gave some good commentary on the Asia market and then China. Was wondering if you could also give us an update on what merchant utilization rates look like in the other regions and what your outlook is in each one.
Seifi Ghasemi: Sure. Corning will be happy to do that.
Corning Painter: Our utilization really runs in the 70s and a little bit lower, I guess, I would say, in South America right now. And I think we see ourselves continuing to operate in that range.
Jim Sheehan: And Europe?
Corning Painter: So I'm speaking for Europe as well. Europe would be in the 70s as well.
Jim Sheehan: Great. And in terms of your cash from operations outlook in 2016, how much growth are you expecting?
Seifi Ghasemi: When you say cash from operations, do you mean free cash flow? Well, we did about $200 million in the first quarter, so I'm hoping that that trend to continue, but I'm not suggesting we will have $800 million of free cash. But we might. I mean it depends on the project. It depends on how much money we spend on the new projects that are coming on stream, but we feel pretty good about significant free cash generation. Scott, you want to make any additional comments?
Scott Crocco: Sure, just to build on it. As I've said in the past, we're focused on generating as much cash as we can from our existing assets. That's the EBITDA. And then, as Seifi mentioned, going through our cash flow priorities, recognizing where to spend the right amount of money on the maintenance capital. And so we feel good about where we are. We are going to continue to focus on cash. Again, generating from the assets we have in the ground and then making sure that we are very disciplined in how we deploy that capital.
Jim Sheehan: Thank you.
Seifi Ghasemi: Thank you.
Operator: And our next question will come from David Manthey with Robert W. Baird.
David Manthey: Hey, guys. Good morning. Seifi, in response to a previous question about the current global situation, I'm wondering if you can just help us understand, do you view the recent changes in global industrial demand, in energy and emerging markets, do you view that as cyclical or secular? And are there any implications on your growth strategy as you go forward?
Seifi Ghasemi: Quite honestly, we haven't seen anything earth-shattering change in the last quarter since we talked to you last time. Obviously, as you know better than I do, it's very difficult to predict what's going to happen, but right now we don't have any reason to be pessimistic about growth opportunities for industrial gases. I have always said that I have a little bit of a different point of view from my colleagues. I see a lot of opportunities for us to engage in new projects. We have engaged in new projects and we have been able to win projects that were north of 10% return. So we continue to be optimistic about the opportunities for growth in different sectors around the world, especially U.S. Gulf Coast and obviously China in terms of bigger projects. We are focused on those. We have opportunities in the Middle East that we are working on. So I don't have any reason to be really pessimistic about the future of the industrial gases in general. Specifically, in terms of the liquid market in the different parts of the world, a little bit up, a little bit down, but nothing has really changed since we talked to you last time to make us more optimistic or less optimistic.
David Manthey: Okay. Thanks for taking the question.
Seifi Ghasemi: Thank you.
Operator: Next we have a question from Mike Sison from KeyBanc.
Mike Sison: Hey, good morning, guys. Nice quarter.
Seifi Ghasemi: Hi, Mike.
Mike Sison: A couple of quick ones on Versum. What type of growth, earnings growth do you expect to see this year? And could you give us kind of how to think about that business over the next three to five years?
Seifi Ghasemi: Guillermo, will be happy to answer that. Whatever he says is not enough, we should do more than that, but go ahead.
Guillermo Novo: We are continuing to see good progress. I mean the core driver of our business, at the end of the day, is innovation and how we are playing in the different segments of the businesses that we are in, both in electronics and performance materials. So we are very bullish. We see the longer-term trends on mobility continue to grow, especially towards the back end of the year, environmental drivers, performance drivers that are driving our PMD business. So we said that we expect to grow at 1.5x to 2x GDP and we are still comfortable with that long-term outlook. Obviously, in the near term we have a little bit more fluctuation based on what's happening with the base business and that's more linked to GDP growth and global demand.
Mike Sison: Okay, great. Quick follow-up, in terms of the capacity expansions for advanced materials, do you have customers lined up for that? And how much growth does that support for you over the next couple years?
Guillermo Novo: If you look at our materials business, this is very different from the gases where it's more project oriented, you build it and then you sell it out. For us, we sell it out, we develop the products, we develop markets and then we built the capacity to support our long-term growth. So we don't look at it as we're going to start this plant and generate new business. We will reload our entire network and that will give us opportunities not only to support new volume growth, but optimize our cost structure, our supply chain and our productivity across the network.
Seifi Ghasemi: Thank you, Guillermo. We are well past the one hour usually allocated, so we will take one more question, please.
Operator: And the final question will come from Don Carson with Susquehanna Financial Group.
Emily Wagner: Good morning. This is actually Emily Wagner on for Don Carson.
Seifi Ghasemi: Yes. Good morning.
Emily Wagner: Good morning. We just had a few questions on EMEA. Do you think you could break down the 470 basis points operating margin improvement from restructuring versus lower energy pass-through?
Scott Crocco: So, I think we are going to scramble to do that in the moment, but I would say the energy pass-through is a much smaller portion there than what we see in North America.
Seifi Ghasemi: Yes. For the exact, exact number, obviously -- I would say -- I don't have the exact number to quote you, but I can confidently say that most of it is from restructuring. Simon can give you the exact number later, but I wouldn't be surprised if 90% of it is restructuring. As a matter of fact, it is 90% restructuring.
Emily Wagner: All right. Thank you.
Seifi Ghasemi: Okay. Well, with that, thank you very much for being on our call. We very much appreciate your interest in the company and we look forward to talk to you next quarter and report even better results. Thank you again.